Peder Holk Nielsen: Hello and welcome to Novozymes conference call covering the first ninth month of the year. My name is Peder Holk Nielsen and I’m the CEO of Novozymes. Our presentation today should take around 20 minutes and afterwards we’ll have a Q&A session. Today I’m joined by my colleagues in the leadership team, Andy Fordyce, Business Operations; Thomas Videbæk, Business Development; Per Falholt, R&D; and Benny Loft who is the CFO of Novozymes. The IR team is also present. Please take a look at Slide #2 and then let’s move ahead to Slide #3 for a quick summary of the first nine months. Novozymes had a good first nine month and today we increase the expectations to full-year profit while we narrow our output for organic sales growth in the middle of the range we provided through the year. Organically, sales were up by 8% for the full nine month. In Q3 alone sales grew in all main markets and aggregated we delivered 9% organic sales growth for the quarter. I’m pleased to see that growth is broadly based and I’m very happy to see that sales in Household Care and in bio-energy have developed as we expected back in August. Now our markets remain dynamic and when we look across many of the markets we serve there is some uncertainty. We’ll continue to focus on our customers and on innovation and believe we have the right business mix to drive growth if outlook should worsen for the global economy in our markets. We’ve increased our gross margin due to productivity improvements, mix effects and lower raw material cost. We’ve realized higher other operating income and a one-time positive impact from the BioAg Alliance agreement. And with the latest development, currencies now look to support revenue and EBIT for the coming period. These factors all helps us improve the margins. The cash flow has also been strong and we are in an excellent financial position to invest in future growth. One of the areas we continue to invest in is biomass conversion. It’s been good to see positive developments over the last few month with plant openings and new plant announcement and political support for advance biofuels in Europe. I’ll now leave it to my colleagues and the team to give you some more details. Andy, please take it from here.
Andy Fordyce: Thank you, Peder. Please turn to Slide #4. To pick up from where Peder left, sales in the markets covered by the business operations organization have developed as expected over the last quarter. Back in August we discussed that various market segments were developing differently than we have anticipated beginning of the year. In spite of that, overall sales development through Q3 is about where we expected at this time. Household Care sales are up 5% organically after the first nine months and six percent growth in the third quarter alone and we continue to believe that we’ll deliver around 5% growth for the full year. The detergent market remains competitive and dynamic. They’re still trading down in western markets and a lot of promotional activity. Nevertheless, Household Care sales grew satisfactorily in Q3. Thanks to the breadth of our customers and innovative products. Emerging markets have been important for growth this year, even if China provides some headwinds with more competition and a rapid shift to liquid formulations. China is also tough for us right now and other industries. Specifically, the starch and beverage alcohol businesses are not doing well due to corn pricing and reduced end-product demand. Getting back to growth in China is a key priority for us going forward. In Food & Beverage, sales are up 5% organically after these nine months. Baking has done well especially solutions for dose strengthening. Furthermore, fresh keeping is in a more stable mode this year than we’ve seen in the last couple of years. Sales of solutions for healthy concepts are also doing fine. Returning to the starch business we now expect lower starch enzyme sales for the full-year due to the situation in China. Looking at Food & Beverage in the remainder of the year we expect a modest slowdown in a number of markets. There’s a little timing in this too but growth will be lower than what we had seen so far this year. The brightest star this year is still the Bioenergy segment, 23% organic sales growth after the first nine months is a great achievement. The penetration of technologies that we’ve launched in the last two years is still increasing albeit more slowly recently. Also comps are getting tougher. U.S. ethanol market product is up around 10% this year so far. In Q4 production looks to be on level with that of last year. As we mentioned on the call back in August, we have new innovation in our Bioenergy pipeline that will start to hit the markets within the next six months. We think that these products will make a difference for our customers and I’m looking forward to seeing us make a new push for yield and efficiency in the marketplace. I’ll now pass the word on to Thomas Videbæk who will take you through the remaining areas.
Thomas Videbæk: Thank you, Andy. Agriculture & Feed sales have developed well. Organically, sales are up by 8% after the first nine months. Feed is driver of this performance. The numbers are strong as we realize growth across all our main product categories and in all main [indiscernible]. Especially the Americas are doing well and we expect Feed to continue to do well in the remainder of the year. In BioAg, sales are roughly flat organically after the nine months. The sales numbers are still impacted by timing of sales. In the low third quarter, we saw satisfactory development. The Latin-American sowing season is slowly starting up now, but it looks to be more challenging than anticipated especially in Argentina. Argentina was the highest market for us last year in the Southern Hemisphere. The uncertainty in this market makes us lower our expectations for the year season and we expect the shortfall will keep Novozymes sales growth in BioAg at a moderate level for 2014. In Technical & Pharma, we had a good organic growth of 6%. Pharma has continued to perform well mainly due to higher demand for enzymes for manufacturing of pharmaceuticals. Please turn to Slide #5. Since August 3, new biomass conversion plants has opened up in the U.S. and in Brazil. POET-DSM, GranBio and Abengoa have now officially began production of commercial scale cellulosic ethanol. This was as expected but is still great to see that they are now all stepping in to the next phase of ramping up towards full capacity. We are also happy to supply the enabling enzyme technology to two out of these three plants. Two more plants from the hands of Haisen [ph] and DuPont are set to join the club later this year. In Slovakia, Energochemica recently signed an agreement with Beta Renewables on a license for their PROESA technology. It’s great to see another plant coming along in Europe. They intend to build a plant over the next couple of years similar to the one in Crescentino Italy. In Crescentino, the upgrades over the summer have started to contribute to higher production volumes. Capacity utilization is increasing as they optimize production and further improve the process and engineering. And finally, as we understand it, the Italian government has approved a law that mandates the inclusion of advanced biofuel in gasoline and diesel. 1% by 2022 is the target. That’s twice as high as the non-binding ambition [ph] set by the European Union. It’s the first time a European country mandates the use of advanced biofuels. And it’s a critical first political step towards a more advanced biofuels throughout Europe. Before I hand over to Per, I just want to state that we in the leadership team are happy that we have been recognized as a world leader for corporate action on climate change by the Carbon Disclosure Project. Novozymes received the highest possible grade, one out of only two Nordic companies to be included in the leadership index. In the Dow Jones Sustainability Index, we are part of top 3% in the chemical space. We got moved away from the biotechnology this year after more than 10 years of being the leader in that sector. Now, it’s a new sector with new focus areas and we are committed to show our leadership here too. We firmly believe that sustainability and reducing carbon emissions are a must for businesses and an important future driver for our biological solutions. I’ll now pass over Per in R&D.
Per Falholt: Thank you, Thomas. Please turn to Slide 6. In this quarter, we have launched several new products. In Household Care we both had topic [ph] and also exclusive launches. To the broad market we have launched a blend solution we call Medley. Medley is different standard base of multiple enzymes that targets small and medium-sized detergent producers. Medley has been developed to make it simpler for our customers to handle dose enzymes in their formulations. These solutions are targeted at many customers for whom we can make it easier to use more enzymes especially in the emerging markets and in liquid formulations. Solutions such as Medley are part of our constant push to penetrate further and address more customers and regions. Turning to BioAg, we continue ahead at full speed. The partner in plan [ph] on how to attack this science journey [ph] is really progressing well. We have hired more than 80 people by now for our site in North Carolina so we are getting scale and organizational capabilities to execute. We are not done yet but we have got here very quickly. In the meantime, Monsanto is progressing on their 2014 fuel class [ph] and together we are planning for how to triple our testing program for the next year. I’ll pass on the word to Benny for an update on the financials.
Benny Loft: Thank you, Per. And please turn to Slide #7. As you heard from Peder, we are seeing improved performance in our business leading to higher profitability. Looking at the EBIT margin in 2014, it’s up by more than 2% at this point. Half of it comes from the one-time impact from the BioAg Alliance agreement and the other half from improved performance. This is better than expected, also in the light of currency headwind and higher activity level, depreciation and amortizations. The improved performance is mostly due to product mix, productivity improvement and lower raw material cost. The BioAg Alliance is impacting our numbers in many ways this year. I would like to emphasize that the alliance was made to truly transform the BioAg industry; a task that we will be working on and investing in over the next decade. We did not make the alliance to increase margin short-term. The basic mechanism of the alliance is that we hand over revenue to Monsanto and counter that with a proportion of the deferred income we receive upfront. If you want to look at Novozymes without deferred income, the alternative should be to look at the alternative of no alliance at all with full BioAg sales including the part we handed over to Monsanto. To that, if we disregard any impact from the alliance, deferred income, one-time gains, all of it, and look at the normalized EBIT level, it would have increased this year too, for the reason I mentioned, a moment. Turning to sales. Organic sales growth was as expected after September and we’re now in the sales growth outlook in the middle of the range. The U.S. dollar has appreciated since Q2 and this is the main driver for why our expected organic sales growth now translate into around 6% in Danish Krone for the full year. Expectation for EBIT growth are increased by 4% to 5% at this point. Mainly due to currencies but performance also contributed. The higher EBIT increases our expectation for net profit by around 3% to 4% at this point. The upgrade is a little over than the one for EBIT as we expect a lot on our currency contract in the fourth quarter compared to a large gain last year in Q4. The EBIT margin will now be between 26% and 27% around 1% is the extraordinary impact from the BioAg Alliance this year. Our CapEx are expected to be a little lower than what we expect back in August and therefore we lower the outlook for CapEx by another DKK100 million to now DKK600 million to DKK700 million. Some project will run in to 2015. Others have been optimized. Regarding our cash flow, it’s been very strong so far this year and we increase the outlook by DKK400 million to DKK500 million. This implies the cash generation will be very limited in the first quarter which is mainly due to taxes paid and higher CapEx. Finally, we are also increasing our outlook for return in invested capital to now 22% to 23%. And now I’ll pass the word back to Peder for a wrap up.
Peder Holk Nielsen: Thank you, Benny. So to wrap it up, organic sales growth has been in line with expectations and we now are in at the middle of the range at 7% to 8% for the full year. We increase the outlook for profit after another good quarter and a favorable development in the currencies. And then I want to remind you all that it is dynamic times, uncertainties remain in the number of markets and in the macro environment but we feel well-positioned to drive growth and invest in the future. And lastly, we are happy to see progress on biomass conversion. With this we’re ready to take your questions. Operator, please begin.
Operator: Yes. Thank you. We will now begin the question-and-answer session. (Operator instructions) First question will come from Michael Rasmussen​​ from ABG Sundal Collier. Please go ahead, sir.
Michael Rasmussen​​ – ABG Sundal Collier: Very well done guys on the strong results. Three questions; so, please, Andy, I’d like to start by asking into the new yield-enhancing products for first in Raizen [ph] ethanol that you mentioned. Very interesting to hear that you were doing and you pushed for yield and high efficiency. Can you please reconfirm that this is going to drive similar price mixed improvements through your numbers as we’ve seen done with the Avantec, PureZyme and Olexa? And also, what are you seeing competition doing on your moves. I believe it’s now two-year anniversary Avantec. Second question, if you could go a little bit more into details on the current production capacity at the Crescentino plant, can you give any numbers on an annual production scale at the moment phase? And as a follow up and that, would the plant that you’ve seen going online now and the plant that you see in the pipeline are you still confident in selling to at least 15 commercial plants by ‘17. Final question on Household Care, can you please confirm whether Medley supported anything to Q3 numbers or if this is going to support Q4 numbers and are you targeting new customers or existing customers with the Medley launch? Thank you.
Andy Fordyce: Yes, I’ll go ahead and start with the first-G ethanol question and also the Household Care and then I’ll pass it to Thomas Videbæk around Crescentino. So we’re just giving you an early look at the fact that we’ve got more innovation in the pipeline for the 1G business especially in North America around corn. I think it’s too early to really get in into details about the exact effect that this is going to have but it’s another example how we can work on our R&D shop to come up with better ways to make higher yields and we’ll get it out there and then we’ll be in a better position to talk to you about the impact. From a competitive viewpoint, it’s a very competitive market and there are some very credible players out there. They’re all responding and evolving their approach to the business in different ways. I would say the one thing is we’re not seeing a lot of what I would call brand new technologies being introduced similar to maybe some of the innovations we’ve created but we do see competitive issues out there and I think it’s going to remain that way in ‘15 and beyond.
Michael Rasmussen​​ – ABG Sundal Collier: So that basically by lowering prices in there [ph] or what’s going on?
Andy Fordyce: We’re not – we’re actually in a position I think right now to differentiate ourselves based on the fact that we’re able to deliver high yield. We’ll have to see how things evolve over the coming period but right now we’re not looking at lowering pricing.
Michael Rasmussen​​ – ABG Sundal Collier: No, I mean, the competitors have lowered pricing.
Andy Fordyce: That’s not how we see things, this is a market that’s actually growing in volume over the last nine months so there is good business out there and there is really no reason for them to be doing that. If we go on to your question around Medley, it’s a relatively new launch. We think that this will help us position enzymes as a performance-enhancing technology in especially small- and medium-sized players. It’s not really contributed much in Q3 because we’ve just gotten it out. So I’ll pass it to Thomas around Crescentino.
Thomas Videbæk: Thank you, Andy. A question on the production capacity utilization at Crescentino; as I mentioned, we have had a number of improvements done in Crescentino over the summer. These are now being run in so to say and we are very happy with the results we’re seeing. Crescentino is not yet at full capacity. We’re moving towards that number but we’re not there yet. We are confident we’ll get there. On the 15 plants in ‘17, I think this is a number that we’ve known all the time, is a very challenging and ambitious target but we’re still see that we will move towards 15 plants in ‘17. There’s no indication that this is no longer possible to get towards. It’s not going to be a walk in the park but we still see that happening.
Operator: Are you ready for the next question?
Peder Holk Nielsen: We’re ready for the next question, please.
Operator: Perfect, the next question will come from Lars Topholm​ from Carnegie​​. Please go ahead, sir.
Lars Topholm​ – Carnegie​​: Yes, I’d also like to congratulate you on a very strong number. Two questions, one of the surprises to me at least in Q3 the cost rate, so especially the sales and distribution costs 11% of sales. I only wonder if you could put some flavor on that, is any of this temporary? How do we see the general cost level developing from this year to next year? And then going back to the discussion about 15 biomass conversions plants in ‘17, you are now saying you’ll move towards that and that, of course, I understand but it also sounds to me that you are no longer committed to the 15 or how should I understand that? Thanks.
Peder Holk Nielsen: So I think we’ll let Benny talk about sales and distribution cost first, Benny please.
Benny Loft: I’m sure you remember that when we announced the BioAg Alliance we also announced that part of this agreement was that Monsanto will take over sales and distribution of Ag products in the future and that the impact on our financial was that the gross margin would be slightly negative around 1% at this point down but the sales and distribution cost will be around 1% at this point up. So this is basically just a continuation of that and what we are actually seeing within sales and distribution is that the underlying, we are actually spending more cost today than we were in the past so the devil is basically due to the BioAg Alliance.
Peder Holk Nielsen: Thanks, Benny. On biomass I think it’s so great to see that plants are actually coming on stream and this is probably the first two or three quarters in many years where biomass conversion has actually lived up to plans that we had. It’s happening now and we are excited about that. I think we are in a very good position to harvest the opportunities that comes off these first waves of plants. Of course, we also understand that we’re getting closer to 2017 and 15 plants is more than what we have today. So it’s not like we are any less committed or has any less belief in that happening than we’ve had all the time. But of course, we also understand that a lot of things has to happen in 2015 for us to actually hit that number. So 2015, Lars, is going to be an exciting year. It’s going to depend a lot on how many new investments goes into these plants in 2015.
Lars Topholm​ – Carnegie​​: Given that you initially said 15 plants to be supplied in 17 which are ramping up and 15 and 16 and given the time it takes to construct the plant, how many needs to be on the construction, say, six months from now before it’s realistic to reach this. Well, wouldn’t that have to be basically 15 where you have to supply enzymes?
Peder Holk Nielsen: I’m not sure it has to be 15 but we understand time is critical, to us in the business, the important thing is that things are moving and essentially if the discussion we have right now is whether the 15 comes in at the start of ‘17 or they coming at the end of ‘17, and yes, we don’t know, we don’t full transparency on that but certainly a lot of things needs to happen in 15.
Lars Topholm​ – Carnegie​​: Okay, thank you very much.
Peder Holk Nielsen: Thank you.
Operator: Next question is coming from Hans Gregersen from Nordea. Please go ahead, sir.
Hans Gregersen – Nordea Markets: Good afternoon. Three questions if I may. Going back to Household Care, I guess, you had a disappointing growth performance in quarter two and so saw a quick rebound in quarter three. As we now have a little bit more history in the books, can you sort of give a little bit more insight into what happened and where are you – let’s say your forecasting went wrong for quarter two is the first question. Secondly, can you give any further detail to the launch of the next 1G enzyme for ‘15 how that’s going to play out? And then thirdly, a little bit more outlook towards 2015, although I know you will not talk guidance. When you relaunched the 10% [indiscernible] at growth guidance for ‘15 there were three key assumptions behind that growth target. Could you elaborate a little bit on how those three drivers have changed, where things have gone better and where things has gone worse? Thank you.
Peder Holk Nielsen: So we’ll start with Andy, please?
Andy Fordyce: Yes, so when we talked about Q2, we told you that part of this was related to timing of orders that can have an impact on quarter-to-quarter variability but also sometimes when you’re doing a lot of innovation, you have to make sure that the complex dance between us, the customers and the market all hit at the right time. That was mainly what was behind Q2’s disappointment was new innovation coming out slightly later than we had plan and also some order-to-order variability. But we also have to admit that the trading down in North America is something that we had not anticipated would be as impactful as maybe it has been in that particular market. So that was kind of what was behind Q2 and reiterating what we explained in August.
Hans Gregersen – Nordea Markets: All right, Andy, if you look on the, let’s say, the delays that’s one thing and that’s gone from a time perspective but if you look on the competitor pressures, have they eased during Q3?
Andy Fordyce: It’s a dynamic and competitive market. I’m not sure that is completely different than it was in Q2. We’re out there. There are others that are out there trying to do a good business too and that’s kind of the normal way it is.
Hans Gregersen – Nordea Markets: Sorry to come back to this again, I mean, historically we’ve seen these fall off the cliffs happen once in a while lasting for one quarter and then coming back, is this a normal [indiscernible] we’re seeing this time around again?
Andy Fordyce: Well, I think what we said is we’re going to try to land 2014 around mid-single digit. That’s what we said we would do in Q3. We were able to deliver on that. That’s still the outlook for the rest of the year. We still invest a lot in this business and have expectations that it’s a great place to be. We’ll get in to more details about what the outlook is for ‘15 when we get closer to it.
Hans Gregersen – Nordea Markets: Okay, thank you.
Peder Holk Nielsen: So I think the next question that Hans [indiscernible] was on the next suite on the 1G product, 1G enzymes for biofuels, when are they going to get to the market. Andy, please?
Andy Fordyce: Yes, I think we’re getting a little bit an early look at things. We expect that they’re going to launch in the next six months. I don’t want to get in any more details than that.
Peder Holk Nielsen: Then we’ll let Benny talk about the assumptions behind the 10%. Please, Benny?
Benny Loft: So I’m happy that somebody actually is reading the assumptions behind our growth. So just to remind all what was the assumption was 15 plants served in the biomass space that we see a movement towards 15% inclusion of ethanol in the U.S. and also a relatively stable B&P [ph] across the globe. So where are the progress in these assumptions? I would say that I think it’s fair to say that the 15 plants that we can still see and we have talked about it. There’s a lot of discussions out there and you can easily see 15 base on the discussion. One, of course, we need to see is that they commit themselves and you have just heard that has to happen in ‘15. You can say the jury is still out there in respect of that assumption. The E15 there, we certainly must commit or say that it’s really difficult to see where the E15 – when it will come. We are still around 10% in the U.S. and discussion is still ongoing in the U.S. You can say this is not really that relevant in respect to our 1G business. We have seen very strong growth and that is especially due to all the new stuff coming in to this industry. So the 15% ethanol in the U.S. blend [ph] is also to support the 2G journey in the U.S. And then B&P [ph] has been, you can say, relative stable in the last years but on the other hand we are also reading newspapers so we are also at least can understand that there are some uncertainty in the world about this. But it has had no impact up until now.
Hans Gregersen – Nordea Markets: But if you look at you E15 assumption, you have also upgraded a couple of times during the year due to a stronger-than-expected performance for the new enzyme platform for 1G. Is that enough to compensate for, let’s say, the slower than expected E15 roll out?
Benny Loft: I think we have answered the question, there is, as we talked about so many times, there are a lot of opportunities still within the 1G. We have a good portfolio product out there today that can drive some growth and that will be the next – a lot of product coming in also in the coming years. And certainly we hope that we will be able to see good growth in this segment even without a significant underlying growth.
Hans Gregersen – Nordea Markets: Thank you.
Operator: Next question is from Søren Samsøe from SEB. Please go ahead, sir.
Søren Samsøe – SEB Enskilda​: Yes, hello guys. First, a question on Household Care, you already elaborated a little bit on the growth in Q3, but if you could maybe talk further on, if you’re seeing any let’s say in Q3, seeing a more dampening in emerging markets in terms of demand for Household Care products. And then also if you can comment a little bit on some of the new launches you have made up, meaning, further increase penetration for [indiscernible] in detergents. That’s the first question. Second question is if you can also comment on these 2G plans that are being finalized here in the end of this year, based on your experience from what’s been going on in Crescentino, how high utilization rates when we get to during 2015 on this plant just a sort of a rough guess from you guys. And then finally, if you could elaborate a little bit on the strong growth Feed enzymes, what’s causing this, is it sustainable? Thank you.
Peder Holk Nielsen: Thank you. I think we’ll let Andy start on Household Care, thanks.
Andy Fordyce: Yes. So the emerging Household Care business has been a bit of a – I would say a mix bag. We’ve seen nice growth in many of the markets and that’s more or less what we expected. I guess the weak point here is China. China has been a bit of a weak point in multiple industries and Household Care is one of them. A couple issues behind China; one is the – more rapid shift to liquids where enzymes require, let’s say, more development in technology to go ahead and penetrate. And we also have to admit that it’s been a pretty competitive market share environment in China over the last year. So those things are negatively impacting China weighed [ph] against some other market where we’ve had some very nice growth. New product penetration, there’s a lot of ways we think anyway enzyme to continue to contribute to both cost efficiency within detergents but also within performance. If you look at emerging markets as we said we launch the Medley suite recently to target small- and medium-sized producers; give them a more convenient way to dose enzymes into their products with different levels of performance. So we think that’s going to help over the coming period but there’s a lot of other things going too via some of the, let’s say, global business and even local suppliers in lower tier.
Thomas Videbæk: And on the capacity ramp up, on the new facilities in 2G, these new facilities most of them coming on stream right now is based on new technology so it’s different technology than what we have seen ramp up in Crescentino. Or it’s in new geographies and a different type of biomass; so again a fairly different start up. So it’s not that we are expecting that a lot of learnings from Crescentino will be benefiting the competitors of Beta Renewable in starting their facilities up. Of course, now that has been a significant ramp of time for Crescentino and we certainly hope that the other ones will be able to do it faster but it’s not that there are a lot of learnings that they would be utilizing on Crescentino. I wouldn’t say. But, hopefully, they will come up faster than what we saw on the first one. On the Feed, we are very happy with the development in Feed and as we said we certainly continue to seek good opportunities for the rest of this year and we have also seen Feed be a contributor longer term before and we continue to see that as an important business [indiscernible].
Søren Samsøe – SEB Enskilda​: So what you are saying is that the growth is broad-based in Feed and is not due to one particular product or one particular region?
Thomas Videbæk: That’s a very good point, Søren. We do see that the growth in Feed here in 2014 is based on good growth across the region, so especially, as I said, the America are pulling but we see good growth across the products and across regions.
Søren Samsøe – SEB Enskilda​: Just one follow up on Household Care, if any of the exclusive launches that we probably haven’t heard about have done any of those in – like during Q2 that is now kicking in Q3 or during Q3, is that part of the reason for the high growth in Q3 versus Q2?
Andy Fordyce: Yes, that’s part of it.
Søren Samsøe – SEB Enskilda​: Okay, thank you.
Operator: Next question coming from Tobias Björklund from Danske Markets. Please go ahead, sir.
Tobias Björklund – Danske Markets: Thank you. Good afternoon. So I have three questions it looks like. You talked about Argentina in BioAg and it was challenged, I wonder why it was mainly weather related? Second, could you remind us about the dynamics in your starch business? As I recall it, is it high raw sugar price that would be good for your starch business? And then the last question is relating to the new enzymes for first generation that could be launched in the next six months, are those mainly for the ones already using your yield-improving enzymes you launched just a year ago or will it be a higher probability or does these new products also carry potential to be launched outside those existing customers? I’m asking about cannibalization in the sense for these new enzymes. Thank you.
Thomas Videbæk: On Argentina, it’s not related to weather that we are seeing that off start to the season in Argentina. It’s about the economic situation in Argentina and it’s about the prices of their farm products. When you look at soy, the price of soy beans today is very low compared to where it was a year ago so that’s one dampening factor. And then the currency development in Argentina, that’s another dampening factor. This is for export markets. And then the economic situation in the country as such, that’s also a dampening factor. So it’s not really well related but more the economic development in the country and in the sector.
Andy Fordyce: Okay. And then on to the starch business. So the starch business benefits when sucrose prices, cane sugar prices are high and the corn prices are low and of course there’s high demand for sweeteners and syrups and things like that. The situation in China right now is that corn is extremely high priced and that’s really pinching off a lot of the capacity that was built in China to go ahead and provide sweeteners and syrups in these markets. So that’s at least we think a temporary issue until corn prices normalize. You asked about the 1G enzymes, where will we target those? Basically right now, we’re in the process of figuring out how we’re going to go ahead and market these. That’s why we’re not giving you more detail on it. But you should probably look at this as this is the next level of yield enhancement technology. There are certain customers that are more focused on that and those are the ones that have I would say a high technical efficiency. They’ve got good control of their plants and then they can discern the levels of ethanol yield that they’re getting with, let’s say, more accuracy. So that’s a likely place for this. But at the same time, we’re working for a lot of customers on how to go ahead and create value in these areas. So it remains to be seen exactly what the market approach will be.
Tobias Björklund – Danske Markets: Okay. Thank you.
Operator: The next question is coming from Andrew Benson from Citi. Please go ahead.
Andrew Benson – Citi: Thank you very much for taking my questions. A few of them if I may. Can you try and give us some idea of how the lower oil price and the lower ethanol price is likely to affect your business? I understand that with the U.S. that the demand is mandated. But how do you think that might affect the business looking at, especially as production is above that mandated minimum level? But secondly, can you sort of give us some details on how you think the regulatory environment to support mandated second generation fuel will develop and how the profitability of these plants has been changed by the lower ethanol price or can they get a different price because it’s a different arena [ph] code? So that’s on the first and second generation. Can you give a little bit more detail on the feed side? I didn’t really understand why it didn’t start growing, whether it was just basically more meat production, whether it was new products or technology adoption in emerging regions. And lastly, on the Medley side, can you try and dimensionalize the significance of this new technology in terms of how you hope to sustain growth rates in the household area? Thanks.
Peder Holk Nielsen: So in general, I think the lower oil prices, at least the lowering that’s happening now does not have a major impact on our ability to drive innovation into the marketplace. It doesn’t really matter whether the old prices, $70, $80 or $120, that’s still a strong drive to replace energy, to replace oil components in various products. So we don’t see a change in that. I think if the oil were to swing back to the old levels between $20 and $30, that might be a different story if it was a sustainable pricing. But the movements we’re seeing now doesn’t really change the development needs for our partners and customers. On ethanol, corn is inexpensive too. So corn ethanol is still a very attractive fuel in America. The issue is not really oil pricing at all. The issue is about access to market. And that’s also the issue on cellulosic ethanol. But I think I’ll let Thomas talk more specifically about cellulosic ethanol.
Thomas Videbæk: And on the cellulosic ethanol, of course, you’re right that the regulatory regimes around the world helps or the opposite on getting these projects established. I think today with the confusion that we see in the U.S., I think that’s slowing this industry down to a lower level than we had anticipated years ago. I think in other parts of the world like Europe, we right now, kind of see the opposite where it’s, as I mentioned, out of Italy we hear of this mandate of 1%. That’s certainly helping this industry moving forward. Anywhere where we can in one way or the other secure and off take will make the investment easy. And so right now as we hear it in Europe, it’s making it slightly easier. With the confusion in the U.S. on what’s being needed and what’s being mandated, it probably slows things down to some extent. In China, we start to see these things developing after a slow start to what was expected in the 12 or 5 years plan. We started to see things pick up in China or interest in China from the committed parties. And in Brazil, we continue to see a good push for the ethanol coming from 2G. That is a market, that’s an infrastructure. And there’s a need for this. So we continue to see good dynamics in Brazil. If I then continue on feed, I said that this is –
Andrew Benson – Citi: Can I – it’s just that the ethanol price come down to $170 and you spoke about the economics stopping that [ph] because of low corn price. But surely on the second generation, if you’ve got a lower ethanol price, the bar doesn’t get the [ph] cost down anyway, it just deflects the profitability. So is that not affecting investor appetite for 2G?
Thomas Videbæk: You’re right. But of course, a very high gasoline price will make it more attractive. The prices we are at now is still attractive long-term also for 2G as we see it. So it’s not a major factor if it’s a couple of cents higher or lower per gallon. We still see that when we get into the economy of scale in this, we will also be competitive in 2G.
Andrew Benson – Citi: Okay. Thanks a lot.
Thomas Videbæk: On feed, it is across the different segments. So we both see good market penetration especially in the Americas on the new concepts that we have launched over the last years. And we also see that we gained some market share. We think back in some of the established concepts on our existing product range. So it’s, as I say, across the product ranges and across the different continents where we see good development.
Andy Fordyce: Okay. And then I think you asked about Medley and its impact on our ability to continue to grow. I think you should look at Medley as a platform technology and as one element of our marketing mix. But the interesting thing about this one is we think emerging markets will have outside growth levels when it comes to detergents just by the nature of the fact that they’re expanding economies and there’s more and more demand for these types of products. Medley actually gives us a better way to serve, let’s say, small and medium sized customers and customers in emerging markets. So in that sense, it’s targeted at an area that has very nice growth potential. But you should also view it as one of many elements of our marketing mix. So it’s not sort of just one thing that matters. But it’s one of several things that matter.
Andrew Benson – Citi: Thanks very much.
Operator: The next question will come from Klaus Kehl from Nykredit Markets. Please go ahead sir.
Klaus Kehl – Nykredit Markets: Yes, hello. Klaus Kehl from Nykredit Markets. I just have one question. And that is related to these other operating income of $229 million for the first nine months. I guess the question to Benny [ph] is that – first of all, if you could try to comment a bit on the development in this line. And secondly, whether it would be fair to assume that diesel will drop by at least $200 million next year or you have something else to counterbalance that next year?
Thomas Videbæk: The latter first. I don’t really have a picture about our operating income next year. So there could be many elements going into that milestone payment [ph] and we also have a good development in some of the farmer places where you potentially could see some income coming also. So I think that’s too early to say. There’s no doubt that the majority of other operating income today is linked to the BioAg Alliance. And as we have stated, the net impact from the BioAg Alliance is, you can say, is giving us just around 1% extra EBIT margin expected to the full year. So this is, you can say, partly coming from other operating income. But also that there are others costs that we will realize throughout the fortune [ph] that will be linked to the BioAg Alliance.
Klaus Kehl – Nykredit Markets: Okay. And this 1% impact we’ll have on the EBIT margin, that’s still a net impact so there’s also some cost included in that. Is that correct?
Thomas Videbæk: That’s a net impact.
Klaus Kehl – Nykredit Markets: Okay. Excellent. Thank you very much.
Operator: The next question is from Laurence Alexander from Jefferies. Please go ahead.
Laurence Alexander – Jefferies & Company: Hi, good morning. I just wonder if you can tease out, as you look at the household care and food and beverage businesses over the next few years, is the R&D pipeline sufficient in terms of either platform technologies or regulatory change that you see on the horizon to get either of these businesses back to a very high single digit or even double digit growth rate or do you see this sort of level that we’re running at now and sort of probably the status quo? And that’s why [ph] I’m trying to ask about the R&D pipeline and how much that gives you visibility on growth opportunity.
Peder Holk Nielsen: And if we go into the pipeline for household care, I think we have a very strong pipeline. And of course depending on how successful that innovation will make it into the markets, that of course greatly impact the growth. But I think we have a very strong pipeline. So I’m quite happy with our opportunities to support growth in household care from a pipeline point of view. We do also have a lot of parties in the food and beverage. Again, the time to market is a little bit longer in those areas. But I’m happy with the pipeline we have. And that should also support that we continue also new options but also grow the existing markets.
Laurence Alexander – Jefferies & Company: But I guess just to be clear, so the goal is really to support the growth rate as opposed to accelerate it? That’s the most likely scenario?
Peder Holk Nielsen: Of course, we would like to have as impactful innovation as possible. So if you ask me personally, I would actually like to accelerate the growth. But again, that depends of course on how successful we’re operating these new opportunities and new innovation to the market.
Laurence Alexander – Jefferies & Company: Thank you.
Operator: (Operator instructions) The next question comes from Hans Gregersen from Nordea. Please go ahead sir.
Hans Gregersen – Nordea Markets: Yes, just two quick follow up questions. We’ve seen growing process going down and most likely we should, due to the Brazilian drought, see sugar prices going up. Could that create any opportunities for you in starch going into 2015? I know that’s a guidance, but more just looking in the market in general. The second question, if you look at Avantec versus Genencor, you stated before that they had not launched any new products. But I think that you have alluded to them doing new mixes which also did some productivity gains or yield improvements through yeast and so on. But what is the direct head on conversational status right now on pricing per gallon? Thank you.
Andy Fordyce: Well, yes, if grain prices are low and sugars up, that’s generally good for the starch-processing business. But I think you also have to take into account that the world pricing is not necessarily what’s happening in China and that’s an important part of the story here. It’s really hard to I think kind of quote a head to head status between us and others in the ethanol business because the offerings are actually quite different. Some customers are very anxious to go ahead and take advantage of the best technology to deliver the highest yield and they’re willing to pay for that because they get great compensation and lower corn pricing and very nice ethanol productivity and yield. Others are more interested in what’s called a value for money offering. And their idea is to pay less for these products, but they also realize that maybe the yields won’t be quite as high and maybe they can’t tease that out of their operation anyway. So it’s really hard for me to say, we charge this and they charge that. It’s very different. The mixes are broad from all the competitors out there. And we target it to what the customers are looking for.
Hans Gregersen – Nordea Markets: Okay. But if we then change the question slightly. Given that you can say cross margin under pressure which I assume is fair to argue, would that suggest that there should be an increased demand for your next generation Avantec which will improve yields even further?
Andy Fordyce: Well, I think we’ll have to see how things evolve in the ‘15 to actually get a good feel for that. In spite of the fact ethanol prices are a little bit lower, corn prices are also lower. You can go ahead and still get advantage out of these technologies by maximizing yield and productivity. You also have to remember at least in the current market, exports are also significant. So getting the most out of your assets is the right thing to do. And that’s how a lot of customers are behaving.
Hans Gregersen – Nordea Markets: Thank you.
Operator: The next question is coming from Søren Samsøe from SEB. Please go ahead.
Søren Samsøe – SEB Enskilda: Yes. Just a brief follow up regarding household care where in Q2 commented of course on this high promotion activity and campaigning among your customers that you are shifting down towards the mid-tier segment. Are you seeing any of that? Is that at the same level as in Q2? Or what’s been the sort of trend in Q3?
Andy Fordyce: Yes, it’s still out there. I think if you talk to some of the players that are in that market, they still feel that it’s very dynamic and competitive. And I’ve heard a couple of them quoted, it’s a good year for consumers in North America in 2014.
Søren Samsøe – SEB Enskilda: But can you get into a situation where consumers sort of get confused in all those promotions and start to sort of move back towards what they actually know, the known brand and so forth?
Andy Fordyce: I guess that could happen. I think they take advantage of the promotions. If there’s a brand they like and it’s on promotion, they go for it.
Søren Samsøe – SEB Enskilda: Okay.
Peder Holk Nielsen: But maybe I can add that I don’t think we would try to at all compete with the marketing muscle [ph] and the insights of our large household care customers. But what we can see is that they are as eager to develop pipelines with us s they’ve been all the time. So it’s not like they think there is a fundamental change or shift in the marketplace. They see this as a competitive bleep. We’ve seen them before. I think we’ll see more of them as time passes by. But it doesn’t fundamentally change the game of household care as far as I can see.
Andy Fordyce: Okay, great. Thanks.
Operator: (Operator instructions) We have no further questions. So back to you speakers.